Operator: Good day, ladies and gentlemen, and welcome to the Axcelis Technologies call to discuss the company’s results for the First Quarter of 2018. My name is Takiya, and I will be your coordinator for today. At this time all participants are in a listen-only mode. We will be facilitating question-and-answer session towards the end of this conference. [Operator Instructions] As a reminder this conference maybe recorded. I would now like to turn the presentation over to your host for today’s call, Mary Puma, President and CEO of Axcelis Technologies. Please proceed, ma’am.
Mary Puma: Thank you, Takiya. With me today is Kevin Brewer, Executive Vice President and CFO; and Doug Lawson, Executive Vice President of Corporate Marketing and Strategy. If you have not seen a copy of our press release, issued earlier today, it is available on our website. Playback service will also be available on our website, as described in our press release. Please note that comments made today about our expectations for future revenues, profits and other results are forward-looking statements under the SEC’s Safe Harbor provision. These forward-looking statements are based on management’s current expectations and are subject to the risks inherent in our business. These risks are described in detail in our Form 10-K annual report and other SEC filings, which we urge you to review. Our actual results may differ materially from our current expectations. We do not assume any obligation to update these forward-looking statements. During Q1 Axcelis made significant progress toward our goal of regaining market share leadership in ion implantation with the Purion platform. We announced the first shipment of Purion H High Current Implanter to a new foundry logic customer for development of their most advanced logic nodes. We also entered into a distribution and support agreement with the SCREEN Semiconductor Solutions to bring the complete Purion product family to the Japanese market. These two opportunities have opened nearly one-third of the ion implant market to Axcelis. This represents more than $300 million in potential systems revenue previously unavailable to the company. Purion has tool of record status as seven of the top 10 CapEx spenders in the industry. Our advanced logic shipment and SCREEN agreement have opened opportunities at the remaining three customers. This facilitates a continuing momentum shift in the ion implant market to Purion. Revenue for the first quarter was our highest in over 10 years at $122.2 million. These results were above guidance and current consensus estimate. Our systems mix in the quarter was 37% matured foundry logic, while memory comprised the remaining 63% of the systems shipment, with 36% of total shipments for DRAM and 27% for FLASH. Memory remains strong and is expected to represent more than 50% of the systems mix in the second quarter. The geographic mix of our systems shipments, where Korea 52%, China 20%, the U.S. and Europe 7%, and the Rest of World 21%, China continues to be an active geography. During the quarter we announced our first orders for Purion from a new domestic Chinese memory manufacturer. Turning to guidance for the second quarter we are forecasting revenues of between $114 million and $118 million. We expect gross margins of approximately 38%, operating income of $15.5 million to $16.5 million, and EPS of $0.34 to $0.36 after a non-cash tax expense of $0.10. We continue to maintain our $450 million revenue model as our 2018 target. This will result in further market share growth coming from both established Purion customers and increasing demand from the new Purion penetrations made in 2017. The industry remains in a strong sustained cycle that continues to be fueled by IoT in the mature foundry/logic market, data storage and the 3D NAND market, and data analytics in the DRAM and advanced logic segment. The strong semiconductor market in 2017 provided a great backdrop for increasing Purion market share. This is continuing in 2018. During Q1, we increased the Purion footprint with shipments to three new customer fabs. Two of these sites represent new Purion customers, one of which is our first Purion shipment to an advanced logic fab. The other location is a first in fab Purion placement by an existing Purion customer. This brings total new Purion penetrations since the beginning of 2016 to 35. Let me take a moment to discuss our four key 2018 objectives in more detail. The first tool will drive 2018 revenue. Number one, growing our footprint within our existing customer base with a focus on large memory customers. And number two, establishing Purion in the nascent domestic Chinese memory market. Our efforts on these two objectives are going well. New fab and customer penetrations in 2017 are now generating follow-on orders. We continue to work closely with existing customers on new recipe opportunities on their advanced process flows. For example, in Q1, we shipped a Purion H evaluation unit to a large memory manufacturer to prove performance advantages that will expand our footprint and increase our percentage of implants spent with this customer. In terms of China, we have multiple new Purion customer shipments planned in 2018. And we announced our first orders for Purion from a domestic Chinese memory manufacturer. In addition to the emerging memory market, our business in the mature foundry/logic segment in China remained strong. The third and fourth 2018 objectives are focused on our longer-term, $550 million target business model and ultimately, regaining ion implant market share leadership. Number three, penetrating the advanced foundry/logic market segment with Purion. And number four, reentering the Japanese market. These two markets represent approximately one-third of the ion implant market that has not been accessible to Axcelis. In the first quarter, we have made significant progress toward achieving these two objectives. In Q1, we shipped a Purion H evaluation unit to a leading-edge foundry/logic customer for their most advanced logic development efforts. Purion H was selected for this project, based on architectural advantages over the competition. These advantages will allow the customer to solve some very difficult process issues, while achieving significantly higher productivity and lower cost of ownership compared to the competition. In addition, we announced a multi-pronged partnership with SCREEN Semiconductor Solutions, formerly known as Dainippon Screen that we expect to accelerate our first Purion shipment into Japan. SCREEN is the sixth-largest capital equipment supplier in the world. The company is based in Kyoto, Japan with over 3,000 employees worldwide. SCREEN brings to Axcelis a strong sales and service organization with deep ties to the Japanese customer base. Purion systems are well suited for key Japanese products, such as memory devices, image sensors and silicon carbide power devices. As part of the partnership, Axcelis will establish a demo and applications lab, featuring a Purion H high current system at SCREEN’s process, technology center in Hikone, Japan. Additionally, the two companies have agreed to work together on advanced technology development in multiple areas. Now I would like to turn it over to Kevin to discuss our financials.
Kevin Brewer: Thank you, Mary. Axcelis delivered solid first quarter financial results, beating both company and analyst consensus estimates. Revenue, operating profit and cash all finished at the highest levels in over 10 years. Strength in the overall semiconductor market continues to provide Axcelis an opportunity to firmly establish Purion across a broader customer base. In the quarter, we shipped two new Purion H evaluation units; one to our first advanced logic customer and the second to an existing memory customer for work on additional recipes for advanced memory devices. Gross margin in the quarter was above our guidance driven by lower system costs. Higher volume and numerous margin improvement initiatives should continue to improve our Purion product costs. In Q1 we also continue to tightly control our spending, but we will invest in areas that enable us to achieve our revenue growth objectives. In our first quarter we opened the door to $300 million in potential new revenue for Axcelis and advanced logic in the Japanese market. Over the next couple of years we will allocate additional capital and resources for setting up our applications lab mostly at SCREEN’s Process Technology Center, and stepped step up our R&D efforts to support advanced logic. Q1 opened significant opportunities for Axcelis. We plan to take full advantage of them. Now I’ll review the first quarter 2018 financial results. Q1 revenue finished at $122.2 million compared to $116.4 million in Q4. Q1 system sales are $85.5 million compared to $75.8 million in Q4. Q1 CS&I revenue finished at $36.7 million compared to $40.6 million in Q4. Q1 sales for our top 10 customers accounted for approximately 87% of our total sales compared to 64% in Q4, where two of these customers are at 10% or above. Q1 system bookings were $90.3 million compared to $103.8 million in Q4, while the Q1 book-to-bill ratio of 1.02 versus 1.35 in Q4. Backlog in Q1 including deferred revenue finished at $89.4 million compared to $87.3 million in Q4. Q1 combined SG&A and R&D spending was 23.4% of revenue compared to 22.3% in Q4. SG&A in the quarter was $16.4 million with R&D at $12.2 million. In Q2, we expect SG&A and R&D spending to be approximately 25% of revenues and in line with our target business model. Q1 gross margin was 38.6% compared to 31.5% in Q4. Our Q4 gross margin was negatively impacted by an excess inventory reserve adjustment. In Q2, we expect gross margin to be approximately 38% impacted by higher mix of Purion H. We have detailed multi-year gross margin improvement roadmaps in place. Higher volume, value engineering, supply chain rationalization and lean manufacturing will all continue to play a critical role in driving the lower Purion product cost. Operating profit in Q1 was $18.5 million compared to $10.8 million in Q4, which includes a charge for excess inventory. Q1 net income was $13.9 million or $0.41 per share compared to $91.7 million or $2.68 per share in Q4. Our Q4 net income was impacted by a tax benefit of $81.6 million to principally to the release of a tax valuation allowance and related impacts. We are guiding Q2 earnings per share of $0.34 to $0.36 after an expected non-cash tax expense of $0.10. Q1 inventory ended at $135 million compared to $120.5 million in Q4. Q1 inventory turns, excluding evaluation tools, finished at 2.4 compared to 2.7 in Q4. Q1 accounts payable were $43.4 million, compared to $32.6 million in Q4 due to the timing of material receipts. Q1 receivables were $75.6 million compared to $75.3 million in Q4. Q1 cash finished at $148.5 million compared to $140.9 million in Q4. We expect Q2 cash to finish at approximately $154 million. Q1 was a great quarter for Axcelis. We delivered quarter-over-quarter improvement in revenue, gross margin, operating profit and cash. In 2018, we are focused on driving higher revenues through share gain, improving gross margins to cost out initiatives and solid cash generation required for investments expected to drive future growth. Thank you. Now I would turn the call back to Mary for closing comments.
Mary Puma: Thank you, Kevin. Our customers are choosing Axcelis Purion platform because they realize the value or innovation benefit they gain from having competition between two strong implant suppliers. We have all watched this play out as Axcelis is growing implant market share from approximately 5% to 27% over the last few years. In Q1, we put additional pieces in place that we need to complete our march toward market share leadership. Our agreement with SCREEN and our shipment to a leading-edge foundry/logic customer has given us access to $300 million of implant opportunity, meaning that the entire $1 billion implant TAM is now available to Axcelis. Furthermore, our screen agreement not only provides Axcelis an on trade to the Japanese market, it also gives us access to a world-class Japanese facility in which we will outfit a demo and training center. This will allow us to better serve the needs of all of our Asian customers. The agreement also builds upon our desire to provide our customers with solutions to better meet their emerging manufacturing challenges through our technical collaboration. We are confident about 2018 and the continued growth and profitability that we believe we can deliver over the next couple of years at the $550 million revenue model. We are also excited about identifying new technologies, products and businesses that will allow us to continue a trajectory of profitable growth that our shareholders have come to expect from Axcelis. With that, I’d like to open it up for questions. Takiya?
Operator: [Operator Instructions] Your first question comes from Edwin Mok of Needham & Company. Your line is now open.
Edwin Mok: Great. Thanks for taking my question. Good job for the quarter. First, actually just a housekeeping, just to clarify. I think last quarter you guys talked about you have a step up in tax expenses here, but not for cash taxes still remain really low. I think this quarter, you just report your GAAP number, you’re not going to back out from [indiscernible], I just want to clarify that’s the case. And how – tax rate is going to stay at this 20% range going forward?
Kevin Brewer: Yes, so we are reporting GAAP numbers, Edwin, and this quarter, our tax rate was 20.4%. So we feel that we’ll be in the 20% to 21% range going forward. And the impact – you’re right, we’re paying taxes now, but it’s non-cash because we have this big deferred tax asset on the balance sheet now. So it will be a while before we use that up. So it is impacting the P&L because it shows an expense. But then we don’t pay the expense so we don’t pay the cash.
Edwin Mok: Okay. Great. Thanks for clarifying that. And then moving on the business, we’ve heard some companies, kind of talking about maybe within the memory space there’s some shift in kind of equipment spending or shift in capital expansion from NAND the DRAM. Just wondering if you guys are seeing that? And as that progress through the year, how does that affect your business?
Mary Puma: So Edwin, we really haven’t seen any major shift between DRAM and NAND. It’s very common for things – for shipments to move around quarter-to-quarter. But we really haven’t seen any changes in the market, as I just mentioned. We think overall demand remain strong both for memory and also the mature process technology market. And what we’re doing is just we continue to monitor the timing of these customer investments very closely. But customers are continuing to tell us that they feel confident about this being a sustained cycle and that those investments are going to take place.
Edwin Mok: Okay, all right. Can I ask you a question about the agreement with SCREEN? You mentioned that you’re placing Purion H product in that customer site. I was wondering, it seems like there are opportunities that you’re going after like the end customer, the chipmakers, serial memory, CMOS unit central or silicon carbide, seems like that’s a high energy type of application more than high current. Just curious why you’re placing a high current to there? And then – with that agreement – does that – does those come with slightly gross – low gross margin because I guess if you to give up some margin to SCREEN as a distributor?
Kevin Brewer: Yes. So, on the first question, Edwin, we made a decision to put Purion H in the lab in Japan. It’s the largest TAM, it’s used for a lot more implant applications in high energy implanter, and so well the image sensors and NAND market definitely do use this higher energy. We can do the work for their applications back here in Beverly pretty easily. So what we’ll be doing in the lab there is have a Purion H implanters, but we will have a Purion XE front-end which will allow us to do full training with the Purion XE which is a little bit wider or bigger around the system just based on the size of its alone. Relative to the financial question, we haven’t released the exact terms of the agreement, but it is a representative agreement, so we will be paying them a commission. So it shouldn’t impact the gross margins.
Edwin Mok: I see. Okay, great, that’s helpful. Lastly, just on the advanced logic win there, congrats for make – winning that eval position. Just curious, what kind of timeframe for that? And is it possible to describe what node are we talking? Is it more like a 5-nanometer node or is it account for current advanced node?
Mary Puma: So we’re not going to identify the node, because it’s obviously confidential in terms of the customer we’re dealing with and the development that they are using the Purion H for. Beyond that, typically a logic evaluation will last one year and that is in fact the length of this evaluation agreement, that has happened in the past, I think to be conservative, we should probably think of thinking revenue in 2019. But I’m not going to rule out the fact that we could actually ship additional Purion H to that customer this year.
Edwin Mok: Great, I think that’s all I have. Thank you, I appreciate the color.
Operator: Thank you. Your next question comes from Patrick Ho of Stifel. Your line is now open.
Patrick Ho: Thank you very much. Mary, maybe just a follow-up on some of the comments you made regarding China, and particularly specifically the domestic markets. Where are you getting the biggest interest right now, on the memory side or the mature technology logic side, given that that region has both of those markets growing at a pretty rapid pace?
Mary Puma: We’re actually getting a lot of interest from both sides, both customer segments. There is interest from I call the domestic, they are some of the new domestic memory suppliers and we talked about how we actually got our first orders from one of those customers in Q1. We also have a lot of interest from some of the more established, I call them, maybe the global memory company. So the memory side is actually quite strong. And then on the mature process technology side of the business, we have a lot of business in China, we’ve talked about that before and we have an excessive installed base. And we’re seeing those customers continue to show interest in Purion and place additional orders also.
Patrick Ho: Great, that’s helpful. And maybe as a follow-up question in terms of your services business, maybe also related to China somewhat. How do you look at that opportunity on the services front, given that that’s an area where you guys have capitalized upon with your current installed base, but China also tends to be, I guess, a more region where they tend to have more those types of third-party vendors or local shops there. How do you plan to penetrate the services market? And keep a lot of that in-house for yourself versus the vendors out there?
Mary Puma: I actually I don’t think we’ve seen it, the competition to be any stronger in China than some of the other Asian markets that we’ve gone into. One of the things that clear is especially at some of these new fabs where the operators are new, the management teams are actually looking towards or looking to Axcelis to provide support, both in terms of service and spare part and consumables, because in some cases again, the operators are new and the locations are remote, and so in terms of being able to come online as quickly as possible, I would say we’re actually getting probably our fair share or maybe even more of our fair share in these situations.
Patrick Ho: Right. Final question for me for Kevin in terms of gross margins. I think you talked about the progression to 40% gross margins that has been pushed out somewhat. But as we look at 2018 as a whole, as you get some of these cost out programs and some of the savings you talked about, would there be a potential trajectory to increasing gross margins as the year progresses?
Kevin Brewer: Yes, Patrick, we still believe that 39%, which we put in our target model is achievable this year. And when I look at that, I’m thinking more along the lines of an average of 39%. So the answer to your question is, yes, as we move forward, I expect to continue to see these margins creep up. We’ve got all the usual things that impact us with mix in evals and stuff. But at these revenue levels, an eval recognize and has a lot less impact on margins versus on lower revenue. So, yes, I I’m very comfortable with that, what we have in the model 39% is where we can get to this year. And then beyond that, as you pointed out, if you look at our $500 million model, 40% plus is where we would expect to be.
Patrick Ho: Great. Thank you very much.
Kevin Brewer: Thank you, Patrick.
Mary Puma: Thank you.
Operator: Thank you. Your next question comes from David Duley of Steelhead Securities. Your line is now open.
David Duley: Thanks for taking my questions. Just a couple of questions on memory spending. I was just curious, have you seen an increase in overall DRAM spending? Many of the other large equipment guys have talked about DRAM spending being better than expected, and I was wondering if what you had seen thus far?
Mary Puma: Yes, I think, versus what we had anticipated coming into the year, we have seen DRAM spending increase. So I think that what we’re seeing is pretty consistent with what others are telling you.
David Duley: Okay. And I’m assuming that’s kind of two sources of increase a little bit more perhaps from China. And then a little bit more from non-Chinese customers, the Korean guys who seem to be ramping up the fab or two.
Mary Puma: Again, I think we’re seeing the same things that everybody else is seeing, so those regions would be among the areas where we would see some strong DRAM spending at this point.
David Duley: Okay. And as far as the mix in Q2 between memory and foundry/logic, could you repeat that again? I think you mentioned it. And then perhaps, if you could provide some guidance what you think the mix would be for the second of the calendar year?
Mary Puma: Okay. So these numbers, by the way, we made a change to this right before we read the script. So these are the actual numbers, and I apologize if they’re slightly different. The foundry/logic is 36% in terms of shipments, and the memory is 64%, and the split would be 37% DRAM and 27% Flash.
David Duley: Okay. And that’s the same mix, that was the mix you had in the March quarter. What do you expect the mix to be in the Q2 and in the second half?
Mary Puma: Well, we don’t really forecast what for the mix is going to be. We did say in the script that we expect our memory shipments to be over 50%. So it will still remain predominantly memory, although, it may not be quite as strong as that 64% that we had in Q1.
David Duley: Okay. And then could you take a stab at if you could take a guess at what you think your first half’s revenue of this year will look versus the second half? Is that going to be – would you expect a decline in overall memory spending? Or is that going to be different for you guys?
Mary Puma: The first half of the year continues to be strong, and I think that’s witnessed by our results from Q1 and also our guidance for Q2. And in 2018 we’re focused on achieving our $450 million revenue target. At this point, we have limited visibility into the second half, but if you look at what’s going on right now in the marketplace there’s a lot of fab construction underway so we’re confident that spending will occur and we just continue to monitor the timing of those customers and customer investments very closely. I think the other thing is that we are actually focusing beyond 2018, and we’re pretty excited about the fact that we are getting all the pieces in place now for the $550 million target business model, with the first shipment of the Purion H to a leading-edge foundry/logic customer, and then also the distribution and support agreements and other elements of our collaboration with the SCREEN. So I think we feel very confident about where we’re going in 2018, and even moving forward over the next couple of years.
David Duley: Another question from me is as far as China goes and the domestic memory guys, do you think you’re going to achieve a 40% share of those new customers as they come online given your market position?
Mary Puma: Again, I’m not going to conjecture it at what the market share is going to be. It’s pretty hard to tell based on the fact that we don’t exactly know what the spending is going to be. But we continue to say that we think we’re going to get our fair share of that business. As I mentioned earlier, we have a position at both the domestic and global memory customers as well as the mature foundry/logic guy. So I think it’s going to be a big year in China across a number of different customer segments.
David Duley: Thank you.
Kevin Brewer: Thanks, David.
Mary Puma: Thanks, Dave.
Operator: Thank you. [Operator Instructions] Our next question comes from Mark Miller of the Benchmark Company. Your line is now open.
Mark Miller: Thank you for taking my question. Congratulations on your results for March.
Kevin Brewer: Thanks, Mark.
Mary Puma: Thank you.
Mark Miller: You’re welcome. As memory scales up to a greater number of layers per device, do you see increased use of ion implants as we go to next generation device with more layers?
Kevin Brewer: The use of ion implant is a little bit wafer-based layer relative to the NAND process. Although, we do continue to work with customers and partners looking at ways that implant could be used in material modification applications to help with some of the difficult action patterning steps involved in that. But currently, it’s really driven by the transistor definition on the NAND devices.
Mark Miller: Okay. This non-cash tax expansion, does – sounded like that’s going to extend through the rest of this year? What about 2019?
Kevin Brewer: Well, it’s going to be based on our earnings, right. But we have $81.6 million I think it was a number that we put up on the deferred tax asset reserve. So there’s a lot of profit that can be made before we chew through that. So basically any tax expense that we have going forward, Mark, we’ll pull from that reserve and when the reserve runs out, it runs out, but a 20% tax rate higher expense is just that even if we achieve greatness as a few years before that’s gone.
Mark Miller: And that was – $81.6 million was for the March quarter, is that correct?
Kevin Brewer: We put that up at the end of the last year when we – yes, March quarter. Right.
Mark Miller: Okay. I’m just wondering that maybe I missed the cash from operations.
Kevin Brewer: I just gave the cash number. We went from $140 million to $148 million. I think part of that was from operations.
Mary Puma: Typically it’s a one for one kind of ratio.
Kevin Brewer: So about $7 million to $8 million cash from operations.
Operator: Thank you. Our next question comes from Christian Schwab of Craig-Hallum. Your line is now open.
Christian Schwab: Great. Good quarter. Did you make a comment of what you’re seeing, Mary, in the nonleading edge side? And what your repetitions are for 2018?
Mary Puma: Well, I didn’t – what I said is that we really haven’t seen a change in the marketplace that overall the demand remained strong and that’s both on the memory side of the business and the mature technology side of the business. And there have been a few – there’s been some movement in and out, which is normal, I think, in any given quarter, but in general, we feel very confident about 2018 and the fact that we’re going to hit our $450 million revenue model, and our customers are telling us they feel confident about the fact that the markets going to remain strong and that we’re in a sustained cycle.
Christian Schwab: Great. That’s all I had. Thank you.
Kevin Brewer: Thanks, Christian.
Mary Puma: Thank you.
Operator: Thank you. You have no further questions at this time. This concludes the Q&A portion of the call. I will now turn the call back over to Mary Puma, who will make a few closing remarks.
Mary Puma: So we hope to see you in the coming months at the B. Riley conference in Santa Monica and the conference Craig-Hallum conference in Minneapolis, both in May and at the Stifel conference in Boston in June. Thank you for your support.
Operator: This concludes the presentation. Thank you for your participation in today’s conference. You may now disconnect. Good day.